Qazi Qadeer: Good morning, everyone. This is Qazi Qadeer from Panoro Energy. I'm the CFO. With me joining today is Eric d'Argentre, our Chief Operating Officer; and Julien Balkany, our Chairman. We are also supported by Andy Dymond, who is our Head of IR and Corporate Finance. I'll read out the disclaimer to you before we begin. This presentation does not constitute an offer to buy or sell share. So there are risks and uncertainties, including, among others, uncertainties in the exploration and for the development and production of the gas and oil interest in estimating those as well. And we basically -- we are going to discuss some forward-looking statements that are often identified here in these presentations. I think the disclaimer is understood to be read, so we can begin. For the housekeeping, we have a feature to do question and answers. [Operator Instructions] We are going to keep a disciplined, focused time on this call to take questions because we have a very, very packed agenda today, so we appreciate if the questions keep coming, and we'll try to answer those after the call on an offline basis. Next slide, please [ Sarah ]. I'll hand over now to our Chairman, Julien Balkany, who will take us through the materials.
Julien Olivier Balkany: Thank you, Qazi. Good morning, everyone. Before we move to our Q4 results, trading, financial and operational update, I would like to say a few key words on the transformational and accretive acquisition that we have announced last night. I'm very delighted to announce that we have agreed to purchase an additional 40.375% in Block G offshore Equatorial Guinea from Kosmos Energy. The upfront headline consideration is $180 million with interim adjustments in Panoro's favor from the effective date of the transaction that is January 1, 2025, which expect to reduce the cash payment on completion between $140 million to $150 million. Closing is anticipated sometime during summer 2026. There is a further deferred contingent consideration of $29.5 million (sic) [ $39.5 million ] in aggregate link to certain production and oil price thresholds over 2026 to 2028. I would like to highlight that ourselves and our partner, Kosmos have been able to fully derisk the transaction, mitigating the execution risk, clearing all governmental approval and preemptive rights in advance. The only outstanding approval is CEMAC, which is an anti-competition assessment from Central Africa regulator, which we expect to be concluded within a set 6-month timeframe from submission to facilitate completion in summer 2026. As of the effective date and initial consideration, we are acquiring 46 million barrels at an enterprise value of about $3.91 per barrel, which is over 50% discount to Panoro last traded multiple market benchmark, including broker valuation and regional transaction comparables in West and Central Africa. Production net to the interest being acquired in 2025 was around 8,200 barrels of oil per day. In terms of funding to finance this acquisition, we launched yesterday an equity private placement at yesterday closing price, at no discount, for just below $50 million, which we have successfully closed and was multiple times oversubscribed last night. The demand for the placement and fact we completed it at no discount is a clear testament to the quality of Panoro asset base, including Block G and the compelling terms of the acquisition. We are also seeking to utilize the $150 million tap headroom in our existing bond framework. And today, we are commencing fixed income meetings with prospective bondholders. Next slide, please. Transformative impact, materiality and longevity. I would say this slide speaks for itself and show the transformational impact on Panoro's operating profile. Based on 2025 full year, the acquisition increased Panoro pro forma production by approximately 80%. And on a 2P reserve basis, it increased Panoro size by over 100%. This acquisition basically doubled the size of Panoro overnight. Other of the many benefits of the acquisition will be the increase and more frequent crude oil lifting, giving us better and greater regularity with the oil price through the years, which we fully expect to drive material cash flow expansion with the objective to enhance shareholder return for the next years to come. Next slide, please. Block G overview. Before I hand over to Eric d'Argentre, our COO and President, I want to remind people that it is almost 5 years ago today since we announced our entry in Equatorial Guinea and the acquisition of our current 14.25% interest in Block G from Tullow Oil. That acquisition paid back in less than 18 months. And as you can see in the graph on the slide in front of you, our 2P reserve at our last annual report are greater than the 2P reserve at acquisition, showing that we have replaced more reserves than we have produced. There are clearly some parallels with the acquisition we have announced last night, hopefully, at the right time in the current oil prices cycle and Panoro's ability to transact swiftly and with certainty and also the strong support of the capital market and our shareholders. I will now hand over to Eric, who will take you through the operation of not only Block G, but also the exciting and high-impact work program across our wider E&P portfolio.
Eric d'Argentré: Thank you very much, Julien. Good morning, everybody. On this slide, on the Block G, you can see on the left-hand side our Ceiba and Okume Complex. So Block G is composed of 2 different oil accumulation, 6 fields on conventional more shallow water and the Ceiba field, which is a subsea development. The key figures on a pro forma basis are very strong. We have 115 million barrels of 2P. Our production for '25 on a pro forma basis is 11,000 barrel of oil per day. As you can see on the left-hand side, the production curve, delivery was strong through the years. 2025 saw a little low on production delivery mainly on the Ceiba field. We have discussed that in the previous reports, quarterly reports on the Ceiba multiphase pump failures or problems. I'm pleased to say that, back in October, one pump was back in service. Another one is being finalized now as we speak this coming weeks. And we expect the Ceiba field to gradually recover production and get back to its full potential in the course of the year 2026. Next, please. So Block G, Okume and Ceiba, it's important to note that it's very large oil accumulation, multibillion barrels of oil in place originally, 1.3 billion on Okume and 1.1 billion on Ceiba field, with the current recovery factor that is rather low at around 20%, 21%. And with our long-term view and extension granted in 2022 until 2040, we expect, with the work program, to recover around 30%. That is the target. And you can see from 2025 going forward on the next 5 years, we have in the first few years, focusing on the recovery of our cluster in Ceiba field, additional well workover and intervention, stimulation, pump optimization on the Okume Complex and then moved to -- in 2 to 3 years in 2028 and forward, on the drilling campaign to add additional drainage point on the Okume field and the Ceiba accumulation over the years that we expect in our 5 years plan to reach -- to get back above 30,000 barrels of oil per day and produce around 55 million, 54 million gross production at moderate development cost, around averaging $10 per barrel. Next, please. So on the large group production, Panoro has delivered a consistently increase of production with a historical level in 2025 at 2,300 barrel of oil per day pre-acquisition. And you can see here, the impact of the 40.3% acquisition of Kosmos interest on '25 pro forma basis. Our production guidance for 2026 on a pro forma basis are around -- between 15,000 and 17,000 barrel of oil per day with the current program. And as I mentioned in the previous slide on Block G, we have as well strong program -- investment program, specifically on Dussafu block in Gabon with MaBoMo Phase 2 drilling starting this summer. And we are on the road to the 20,000 barrel of oil per day net to Panoro Group. That is very strong asset base is as well in terms of cash generation, very healthy and strong. You can see on the right-hand side, we are very resilient at oil price. Even at $60 a barrel, we have a healthy cash flow generative way above our pro forma bond feature and going up to the $800 million and $900 million mark once the barrel price goes to $75, $80. Next, please. So we have discussed this morning the transaction on Block G, but let's not forget the rest of our asset base and especially the Dussafu asset, which is a cornerstone asset for Panoro, has strongly delivered production with a very good upside for the years. And here again, with historical peak production in 2025, about 33,000 barrels. We have a strong 2P base. As I mentioned, the MaBoMo Phase 2 was FID-ed and drilling will start very soon. And we have -- in parallel, we are maturing with the operator Bourdon FID. Bourdon was discovered late '24, '25. It's a 25 million barrel recoverable reserves and we expect FID to be sanctioned in the coming months. Next, please. On Tunisia, it's a more modest asset base, but very steady, very important in the portfolio as well. We have delivered good production last year, above 3,000 bopd fighting decline, maintaining our baseline. And we have a list of productive project and well intervention in 2026. And we are maturing some drilling project for later '27, '28, that will not just maintain the plateau or extend the plateau above 3,000, but increase production on the Tunisian asset. Thank you. Next slide, please. Another exciting project we have, on exploration. We have the Niosi and Guduma blocks, which are, as you can see right in the middle of a very prolific basin with the Dussafu production and the Etame field of VAALCO very close to it. And we have finalized the seismic survey back in December and January. It's now being processed and interpretation this year and part of 2027 to mature the already identified prospect, whether on the top corner of the Dussafu block or on the Niosi trend as well. That's a very, very exciting project, and we aim to well being sanctioned sometime in 2028. Next slide. Another very exciting project in block, Block EG-23 in Equatorial Guinea. We have high-graded Estrella discovery, very exciting discovery with well tested above 6,700 barrel of oil per day and almost 50 million standard cubic feet of gas. It's about 10s kilometers from existing producing facilities of the Alba field, making it a very fast track and easy tieback. And you can see next to Estrella, the green Rodo discovery that would conceptually could be a commingled development of Estrella and Rodo with one platform and drilling center. So another exciting project to follow. Next slide, please. Thank you. I will hand over to Qazi Qadeer to take you through the full year results.
Qazi Qadeer: Thank you so much, Eric, and good morning, everyone. I'm going to discuss very briefly the 4Q and full year highlights for 2025. We are looking at revenue of $216 million, a little bit less compared to 2024, but it is a function of 2 items, which is oil price and the composition of liftings, which then basically affect the cutoff of the sales if they are very, very close to the period end. EBITDA was $98 million approximately. Again, this was driven by the volumes lifted during the year versus the realization for the year compared to 2024. We came exactly on our guidance on the capital expenditure of USD 40 million, which we believe is a good result for the discipline of capital we maintain at the company. Strong cash position, $77 million, and we are basically fully drawn on our bond, which we raised last year and very, very healthy and strong cash flow generation from operations at USD 73 million. We are looking at cash distribution of NOK 50 million, which we have announced this morning to be paid on or about 10th of March. And just looking at the few years, we have started to declare our distributions, accumulated basis is about NOK 710 million, with a very healthy set of buybacks as well at NOK 135 million. Next slide, please. Just to talk a little bit about the shareholder returns. So effectively, we have returned 30% of our current market cap. Obviously, this will be a little bit different if we consider the market cap of this morning, but certainly when we wrote this presentation, 30% of market cap since we started consistent distribution since March 2023. A very healthy yield so far we have maintained, but obviously, we are constrained by the framework that we have under our bond terms, which basically give us a finite capacity for distributions in 2026, which is about, in equivalent terms, USD 21 million. And off this, we have distributed for this quarter about NOK 50 million equivalent. Next slide, please. We are going to talk a little bit about guidance on liftings and also discuss how the announced acquisition affects our business. Very, very positive change from the acquisition of Kosmos' interest, which is expected to be fully available to us in 2027, but certainly from the later part of the year when we complete the transaction in the third quarter 2026. On an existing basis -- business basis, we are talking about accumulation of inventories until the first half of the year, which is about close to 600,000 barrels, but very, very active sale campaign in later part of the year. So for guidance purposes on existing asset base, 3 million to 3.5 million barrels of sales versus assuming on a pro forma basis, we get about 5.1 million to 5.5 million barrels of sales for this year. Now what it also does is that it increases our frequency of the lifting and during the completion period with Kosmos transaction, we are still taking the benefit of a more spread out profile of our crude liftings, which also exposes us to more data points on the pricing for our crude. Next slide, please. So again, just talking about how the buildup for cash has been for this last -- past year. As I mentioned very healthy cash flow generation from operations. We have also between the recycling of inventories through the advances. We are close to about $100 million of cash flow including operations. With our discipline delivery on the capital expenditure of our $40 million and after paying off all our obligations, we are returning about close to $40 million in share buybacks and cash distributions for this year, ending with about $77 million of cash at the balance sheet as of 31st of December 2025. We are also, as you have seen, announcing a tap issue for a $150 million bond to fund the acquisition of our announcement this morning to take the working interest of Kosmos Energy's Block G 40.375%. This will basically be the source which will basically fund this acquisition later in the year. For guidance purposes, we have some capital expenditure, which is about USD 50 million to USD 55 million on an existing basis of the assets. And with -- on a pro forma basis, assuming we complete the transaction with Kosmos, it is going to be another $15 million to $17 million higher. Next slide, please. So just in summary, I will let Eric summarize the messaging and then we'll go straight into Q&A.
Eric d'Argentré: Thank you, Qazi. As a summary and the main message for you today is that we are delivering on our strategy -- on our growth strategy. The first pillar being the production baseline and the reserves, we have produced highest production this year -- in 2025 last year, at record level. We have FID'd the MaBoMo Phase 2 as we discussed. That will take us back to 40,000 on the Dussafu block. That's a very exciting Phase 2 drilling. So we have a consistent organic reserve replacement, whether it is in Gabon or in Equatorial Guinea as well as in Tunisia. In parallel to this strong production and reserve base, we are maturing growth project in our asset portfolio with the Bourdon discovery in Gabon. We mentioned -- and I mentioned the Estrella project in Block EG-23, for which we expect resource recognition very soon. And the new 3D seismic we just acquired with our partners, BW Energy and VAALCO, Niosi, Guduma and Dussafu block will allow us to mature and firm up extra additional growth within the south of Gabon area where we are already. And in terms of corporate, in our growth strategy, Panoro has a strong track record of accretive M&A. That's part of the company DNA, and we have delivered on that strategy with the announcement yesterday of the acquisition of the 40.375% interest of Kosmos in Block G offshore Equatorial Guinea. Thank you. That's the last slide. We'll now go on the Q&A for some time, and I would remind you to try and focus on the big news of last night and this morning on Block G, so that we stay focused. Thank you.
Andrew Dymond: We will now open up to Q&A. As has previously been mentioned, for obvious reasons, we are on a tight timetable today. If we don't manage to answer your question or get to you, please do contact us on info@panoroenergy.com or ir@panoroenergy.com, and we will get back to you. First question is from Stephane Foucaud.
Stephane Guy Foucaud: It's really around EG and around the production profile over the coming years. So two on that. The first one, could you confirm if this production profile is indeed just on the 2P case or whether it includes some 2Cs to achieve that target? And then I think you talk about a $540 million of CapEx from '26 to 2031, I think it is. Could you give a sense of the timing of that CapEx? How it is spread over the years?
Eric d'Argentré: All right. Thanks, Stephane. So to answer your question, we have, in terms of production and the 5 years plan about your 2P, 2Cs, it's -- we are talking here about the 2P, not the 2C in this 5 years plan. The 2C would come as an addition to this 5 years plan. So the drilling we mention is on current recognized reserves, but not all developed, so underdeveloped reserves. And the other part of your question on the CapEx. So the next 5 years plan a net rev means producing around 55 million barrel of oil at an average cost of $10 per barrel. You can well imagine that some of the work like stimulation of light workover on the Okume Complex may come at $5, $4 to $5 a barrel development. Drilling in Okume Complex is more within the $10 to $12 or $13 range, and the Ceiba drilling will be around $15 to $17 per barrel development cost. So the average of this large portfolio is around $10 per barrel development cost.
Stephane Guy Foucaud: Okay. So if I understand therefore, looking at the slide, that means that probably the higher cost, in overall, probably come in the later years rather than the earlier years of the program?
Eric d'Argentré: Yes, exactly. The -- yes. The Ceiba drilling needs more work, more engineering. It's higher investment. So we are going for the conventional shallow water first, easy barrels on Okume wells -- well stock, maximizing the existing well stock, and then we will go on drilling. And the Ceiba drilling will come after the Okume drilling campaign. That's where we are very much aligned with the operator.
Andrew Dymond: [Operator Instructions] Okay. On the basis that there are no further questions pending, I'd just like to remind you if you do have a question after this call, please feel free to contact us online and we will get back to you. Otherwise, that will conclude today's webinar. Thank you very much.
Qazi Qadeer: Thank you.
Eric d'Argentré: Thank you very much.
Julien Olivier Balkany: Thank you all.